Operator: Good day, ladies and gentlemen, and welcome to your NVE conference call on first quarter results. At this time, all participants are in a listen-only mode. Later we'll have a question-and-answer session and instructions will follow at that time. (Operator Instructions). I would now like to introduce your host for today's conference, Dan Baker, President and CEO. Please go ahead, sir.
Dan Baker: Thank you and good afternoon. Welcome to our conference call for the quarter ended June 30, 2013 which was the first quarter of fiscal 2014. As always, I'm joined by Curt Reynders, our Chief Financial Officer. This call is being webcast live and being recorded. A replay will be available through our website, nve.com. After my opening comments, Curt will present a financial review of the quarter, I'll cover business items, and we'll open the call to questions. In the past hour following the close of market, we filed our press release with quarterly results and our quarterly report on Form 10-Q with the SEC. The filings are available through our website or the SEC's website. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others, such factors as uncertainties related to the economic environment and the industries we serve, uncertainties related to future revenue and growth, uncertainties related to interruptions in the government funding process, uncertainties related to future R&D contracts, risks related to eligibility for small business awards, risks related to developing marketable products, uncertainties relating to the revenue potential of new products, risks in the enforcement of our patents, litigation risks as well as the risk factors listed from time to time in our filings with the SEC, including our annual report on Form 10-K for the year ended March 31, 2013. The company undertakes no obligation to update forward-looking statements we may make. We reported strong earnings for the quarter. Net income was $0.53 per diluted share and gross margin was a record 78%. I'll turn the call over to Curt for details.
Curt Reynders: Thanks, Dan. Total revenue for the first quarter of fiscal 2014 decreased 17% due to decreases in product sales and contract R&D revenue. Product sales decreased 15% from a record first quarter a year ago to $5.97 million. The decrease was due to decreased sales to existing customers and we haven't lost any significant customers but some bought less. One particular large customer had lower purchases that appear to be related to reducing their inventories. Their purchases are already increasing this quarter. Sales decreased into both medical device and industrial markets. Product sales continue to be hampered by fragile markets, although the environment seems to be improving which bodes well for the future. We're well positioned coming out of the industry downturn with new products, efficient production and capacity. The large percentage decrease in contract R&D was due to the successful completion of the majority of activities on a large contract and the challenging short-term government funding environment. We have a combination of government and non-government contracts and many of our non-government contracts rely indirectly on defense or other government funding. So the challenging funding environment affected non-government contracts sources. The contract environment seems to be improving however. Dan will talk about a National Science Foundation grant that began July 1st and with several other contract prospects for coming quarters. Gross margin increased to a record 78% of revenue compared to 76% last year due to more favourable revenue mix and more efficient product manufacturing. The increased margins were despite higher depreciation expense from our capital investments the past year. The more favourable revenue mix was a higher percentage of revenue from product sales and a more favourable product sales mix. Total expenses increased 24% for the first quarter of fiscal 2014, compared to the prior quarter primarily due to a 40% increase in R&D expenditures. The increase in R&D expense was due to increased product development activities and a decrease in contract R&D, which caused resources to be reallocated to expense R&D. We believe the investment in R&D will pay off in future revenues. Dan will highlight R&D in a few minutes. Despite the unusually large investment in R&D, operating margin was 53%. Interest income for the first quarter decreased 6% due to lower interest rates. Net income for the first quarter was $2.57 million or $0.53 per diluted share, compared to $0.69 last year. Net margin was 42%. NVE ranked second in return on revenue or net margin in the Star Tribune's measure of the 100 largest Minnesota headquartered publicly held companies. The list was published the past quarter. Our operations continue to generate strong cash flow, $3.62 million for the quarter. As of June 30, cash plus marketable securities was a record $87.5 million. There were no fixed asset purchases for the quarter compared to $445,000 in fixed asset purchases for the prior year quarter. This was unusual for us, but additional investments weren't necessary after the major upgrade of our production capabilities completed in the March quarter. Now I'll turn it over to Dan for his perspective on our business. Dan?
Dan Baker: Thanks, Curt. I will cover research, product development, distribution and governance. Starting with contract R&D, in the past quarter we won a National Science Foundation grant to develop biosensors for enhanced food safety. The one year $224,000 grant titled Real Time Detection for Salmonella was awarded under NSF's small business technology transfer research program. The STTR program funds co-operative projects involving businesses and research institutions. The University of Minnesota and the University of Florida will co-operate within the -- on the project. The principal investigator is Dr. Maria Torija part of our world class research team. The project kicked off early this month. The goal of the effort will be to develop sensors with faster detection of food borne pathogens than current techniques while retaining the required sensitivity. We talked before about food safety applications for our biosensor technology and this grant will help establish visibility. The proposed sensor would be sensible to biomarkers other than Salmonella and could also be envision. There is a critical point of clear sensor in the medical industry. There is a link to the Award Abstract in the News section of our website. We were especially pleased to win this grant in a challenging government funding environment. NSF grants are selective and prestigious and NVE has one more than a dozen over the years. We had a very productive quarter for product development. We sampled three new products couplers within our networks, current sensors for factory automation and automotive applications and high field sensors applicable to medical devices. All three have been well received by customers and we are planning production for each of them. Automotive electronics is in the especially promising market. As reported in our previous, this past quarter we built and sampled third generation prototype spintronics controller area network couplers, which was the key milestone towards automotive certification and qualification. As we said our marketing partner for this product is a larger semiconductor company with the significant presence in the automotive market and expertise on automotive component qualification and certification. It plans to market our third generation parts under its brand despite a label strategy provides the sales channel and credibility to shorten our time to revenue. Based on our partner's testing, the speed of our part is better than expected. Speed is an important advantage because it allows reliable transmission of more data. In addition, we believe our part has less power consumption than alternatives which means it doesn't comprise the battery life that's helping to manage. Also our part is smaller than alternatives such as conventional semiconductor optical couplers. We've previously discussed our spintronics biosensor in a new medical diagnostic instrument. We don't have a specific schedule but we continue to see great potential. We've been told that business discussions necessary to bring the product to market are underway and because of the importance of our technology for the instrument, we've been told to expect to be a party to those discussions. Turning to distribution in the past quarter, we were pleased to extend our agreement with Avago and expand our sensor distribution. Our product sales strategy which we've discussed on previous calls is the market NVE branded parts as well as private labeled parts in certain markets. Our strategy for the NVE brand is customer driven that means that when a design engineer is looking for the best components, we want to make sure they find NVE. We found it's not effective to try to support a sales force knocking on doors because there are so many potential customers. Catalog internet distributors like Newark/Element14 and Digi-Key get our products into millions of catalogues and on to millions of computer desktops. This distribution strategy provides visibility and brand awareness while avoiding the expense of a large sales force. Although we sacrificed margins selling through distributors compared to direct sales, we believe it allows for a higher growth rate. We recently executed a fourth amendment to a 2001 supply agreement between us and Agilent Technologies. Agilent and then Avago have distributed private label versions of our couplers since 2002 under that agreement. Avago has an excellent reputation in the high performance coupling market, good distribution and expert customer support. The agreement would have expired last quarter but the amendment extends the term for three years to 2016. Despite of history in optoelectronics dating back to Hewlett-Packard in the 1950s, Avago management had the foresight to see the value of NVE's competing non-opticals spintronic technology and that's an excellent validation of our technology. We also have a private label strategy for in-car networks like the automotive controller area, network couplers; I talked about a couple of minutes ago. This is a unique vertical market where a direct sales force is important. And in the past quarter, we expanded our sensor distribution with a second broad line distributor in the Americas, Newark/Element14. Newark/Element14 has done a good job distributing our coupler products for several years and approached us about selling sensors as well. Newark/Element14 is the leading distributor of electronic components and engineering solutions. Its catalog internet focus is a good fit with NVE's product marketing strategy. The distribution agreement means two of the leading distributors in North America, Newark/Element14 and Digi-Key are now both distributing both of our product lines. The agreement with Newark/Element14 was in time for our products to be featured in their widely distributed annual sensing catalog. Newark/Element14 is part of Premier Farnell. Premier Farnell and Digi-Key are two of the top five electronic distributors in North America according to the Penton Media annual list of the 50 largest distributors. The Element14 name incidentally comes from Silicon which has an atomic number of 14. Our products actually rely more on atomic numbers 26 through 28. They are magnetic materials because of their electrons spin properties, but we are happy to have them sold by Element14. Finally, returning to governance, our Annual Meeting has been scheduled for August 8 here in Eden Prairie. The materials are our proxy statement letter to shareholders and annual report on Form 10-K have been filed with the SEC, sent to shareholders and are available from the investor section of our website. We are pleased to be part of a select group of public companies with the lowest governance risk according to ISS Riskmetrics. They have particularly been a good deal of attention on executive compensation. We strive for good compensation practices, some of the highlights of our dos and don'ts from our proxy. Well, first the don'ts, we don't overpay. The compensation committee believes it would be difficult to achieve performance that would result in CEO compensation comparable to public companies with comparable revenues or market capitalization. We don't unduly dilute our shareholders. Our main executive officers, NEOs they are called in the proxy had not been granted stock options in the past three years. We don't have executive perks; our NEOs have not received any significant benefits or perks other than those offered to all employees. We receive no pension benefits, non-qualified deferred compensation or other post employment potential payments. We don't have golden parachutes like all our employees or NEOs or employees that will and don't have a change in control or severance agreements. Our NEOs have skin in the game. Although, we aren't required to do so both of us retain a substantial portion of the options or the shares from the exercise of the options we've been granted. NEO competition is aligned with performance, particularly net income and growth. The board adapted a new compensation committee charter earlier than require to meet pending NASDAQ requirements and their details on that in our proxy statement on our website. And for good corporate practice, our entire board of directors stands for election every year. We recently engaged Grant Thornton as our new independent registered public accounting firm and our shareholders have vote their ratification at our Annual Meeting. The firm was highly recommended by other public companies and did a good job on our first quarter review as well as our recently filed fiscal 2013 taxes. Our annual meetings are generally well attended and we look forward to seeing many of you there, as some of you know each year we have a meeting theme. This year our theme is cars. So we planned overuse of automotive tones. Now, I'd like to open the call for questions. [Nova], we're ready for questions.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Steven Crowley from Craig-Hallum Capital. Your line is open.
Steven Crowley - Craig-Hallum Capital: I'm really kind of fight the urge to use car pun here, about reverse and forward direction, because we've kind of stuck in the wrong direction. Maybe you could help us understand the things that you've been adding to your car that can payoff over the relative near term to get us going back at least first or second gear?
Dan Baker: It's your speed and it sounds like you were able to work in a few cars there, but that's a good question. In the relative near term, we are introducing some best-in-class new products that will open up new markets that we talk about some of them on this call. We are looking at expanding in the medical device business, we are gaining traction neural stimulation and in fact we now have several design wins in various stages of commercialization and that could help fuel our growth. And then in the long-term, we are looking at expanding at the mass market such as consumer and automotive electronics and we have been making good progress there. In the near term, as you know, we have faced the challenging macro environment that is improving and we face some specific issues with our customers in the CRM and some of the other markets that we serve and those are improving as well. So we see a very bright future and Curt mentioned some of the special situations that might have affected us and given us some headwinds this most recent quarter and he mentioned one particular customer and there we are already seeing our recovery there. So there is a lot of reasons to be optimistic.
Steven Crowley - Craig-Hallum Capital: On that situation, it's been a seemingly recurring phenomenon with the take down of inventory levels. There is obviously been some challenges in the CRM market in trying to right size the inventory against those challenges that a customer is exactly the challenge they are dealing with, are you able to get a better sense for whether or not they've met some of their objectives, whether they have that equilibrium or whether or not this is a process that you're going to be dealing with on a recurring basis from here because it's still not quite in balance?
Dan Baker: Well, we've actually heard that it might be, it being the CRM market might be returning to normal after pressures the past couple of years. And that's very encouraging. As I mentioned we are also gaining traction in the broader neuro stimulation market, if one considers CRM a subset of neuro stimulation. So we're hopeful that that situation has stabilized and is improving and also that we can broaden our footprint in the medical device market.
Steven Crowley - Craig-Hallum Capital: Now these high field sensors that you talked about sampling recently, are those just the products that are targeting this new segment and maybe you could talk to us about the capabilities that you're bringing or enabling with your products there.
Dan Baker: Right, so the idea of those products is to allow for very wide range of sensitivity over a range of magnetic fields and that can be important if these devices are exposed to say MRIs or other diagnostic tests that use very high magnetic fields. So it's a unique capability of our technology and it will allow us to provide a much better benefit proposition, a broader benefit proposition in the medical device industry. So we are working on several different designs for high field and what we called ultra high field sensors because MRIs keep getting higher and higher fields and the devices need to, in many cases, need to keep working, need to be able to sense that field and need to know that what's going on around them. So we were developing these in response to request from several customers and as I mentioned, we sampled some parts in the most recent quarter. The reaction from customers has been positive and we're working on finalizing designs and getting those devices in to production.
Steven Crowley - Craig-Hallum Capital: In terms of that pool of medical device customers that you have, where that is now versus maybe two years ago or even a year ago and where you think it might be a year or two down the road. Can you help us get a sense for how the size of that group is changing? Maybe order of magnitude is different. I would love to hear a number but I doubt you're going to give us that but maybe just a sense for what's happening within that universe of customer in terms of its size or variety or whatever you can help us with a picture?
Dan Baker: Sure. Well, I think what we can say is that we now have several design wins in various stages of commercialization in the neuro-stimulation market. So there are various stages. Sometimes the regulatory cycles can be somewhat unpredictable and so it's hard for us to predict when they will reach commercialization, but we have a track record of success of having devices that meet the stringent requirements for these applications for getting regulatory approvals for meeting the unique manufacturing standards that go with being in a medical device. So it's not just one sort of speculative prospect, it's [several] and their design wins. So we can't predict timing and it's hard to predict quantities, but we believe that this is a very good business. We have a strong benefit proposition, it's a business it's growing faster than broad neuro-stimulator market is growing faster in general than CRM, which is declined recently and/or the very least [plateau]. So we see this is the way to jump start growth not only by gaining new customers, but by gaining a foot hold in a market that's growing much faster than our traditional CRM market.
Steven Crowley - Craig-Hallum Capital: And is it safe infer from your commentary that it's more than one customer, so at least the few customers in that domain or is that dangerous assumption?
Dan Baker: No that's a fair assumption. We said was several.
Steven Crowley - Craig-Hallum Capital: Okay, and terms of the industrial side of your business, or the non-medical side of your business, obviously you've had challenges there too that are macro oriented, talk to us about whether there's been some inventory correction there that you think you've been dealing with and what's driving some improvement that you seem to imply in that backdrop also is it more applications, more customers or just the tied starting to rise in that space?
Dan Baker: Well reason for us for optimism is all of those, but in particular the market, the macro economy is improving and that means that we're buying more durable goods and factories are starting to clank up again and that means a need for more automation. It was a particularly challenging year for industrial electronics, last year, last calendar year. The semiconductor industry as a whole contracted and the sub segment of industrial electronics contracted even more than that. So, we're seeing a reversal of that, the semiconductor industry appears to be growing and the prospect seem to be for an improvement in the second half of the calendar year. And also industrial electronics seems to be improving even more. So, we're seeing that with our customers and we believe that will give us some a little bit of wind at our back, also of course as we talked about we have new products and new prospects. So we hope to grow that way as well.
Steven Crowley - Craig-Hallum Capital: All right, one more from me and then I'll hop back in the queue. In terms of your large semiconductor global semiconductor company that's become a partner and it seems to be developing as a partner. I just want to make sure, I understand, the progression that's been taking place there, I know there has been some discussion on these calls about early on them helping introduce you to some industrial opportunities. But certainly moving towards the more tightly bundled opportunity, you have a private label relationship with them. Walk through how that working relationship has progressed, what you've been able to do so far, if anything to [age] your business to date and then what the next step is and when?
Dan Baker: So what we've been doing in the relative near term is we've been selling products into the industrial market as you alluded that use the silicon, the network transceiver, housekeeping electronics from this company. So they've been very cooperative in providing those in a form that we can use them. So we buy those, we combined them with our spintronic technology and we make a complete spintronic coupler. And we sell those into industrial markets they've been very helpful as you alluded to in providing introductions into the industrial market which is not the focus of their own brand and where we have a good reputation and strong presence. They provided us favorable pricing on the silicon features that they provide, and they provided us very good feedback and the design and cooperative arrangement and coming up with the best possible product to meet our customers' needs. So we provided in the past quarter what I alluded to in the prepared remarks is that we provided samples of the product that third generation part that would be applicable to in-car networks. So those have to meet particular standards and requirements and then the particular mix or specification is a little different. As I mentioned power consumption is very important because of course everything and the car is going to be running off of the battery and you don't want to deplete the battery anymore than is necessary. So there they've tested the parts. And as I mentioned, the tests were very encouraging. One of the key metrics is speed and that's measured in a variety of ways, but the speed was better than expected. So, we were able to tighten the preliminary data sheet. And then the goal is to get those parts qualified to be purchased by automotive manufacturers to go into subassemblies to manage the battery systems in cars and we don't have a specific timeframe on that. Our goal is to get it done as quickly as possible and we certainly want to have this in place when we start seeing the next generation of hybrid electric vehicles which are not that far away.
Steven Crowley - Craig-Hallum Capital: In the mean time to strengthen the auto industry and manufacturing, has some chance to benefit your business in the traditional factory automation applications or is that too much of a stretch?
Dan Baker: No, that's absolutely true. The requirements are different for being in a car than being in a car factory. Power consumption in a car factory is not as critical than it is in a car. The temperature requirements are not as extreme and other things that you know are fairly self-evident. So we have an excellent product offering in the industrial market. We've had some very encouraging design wins in that space. Right now Controller Area Networks are relatively small portion of our sales, but we see excellent potential for growth there and those don't require any additional qualification or certifications other than what we have now.
Operator: Our next question comes from the line of [Jon Jung from Trailhead Asset Management]. Your line is open.
Jon Jung - Trailhead Asset Management: Dan, I do want to, I guess, reassure the board that we're very pleased with the governance at the company and it's such remarkable in today's environment that you've been very careful about husbanding the options and the resources, but I think the piece that we look at and have owned the stock for three or four years is the frugality may have been taken a bit too far from our standpoint. You've continued to generate an enormous cash balance and shareholders simply are not benefiting from that because the growth of the business just simply has stalled and dropped as pieces into reverse. So I think that when we look at the amount of money that you spend on sales and marketing, it's a very small amount of money and we simply don't understand what these cash balances purpose is in continuing to grow them to what is now approaching $90 million, $15, $20 a share and we don't see the benefits to the company of continuing to generate big cash balances when there is simply no growth going on here. And what your executive group does in regards to adding sales and marketing expertise and capabilities is not ever a topic that we hear much about. So I couldn't tell you who your sales and marketing executives are. We don't hear them focused or discussions about their efforts and their skills sets, but we are frustrated and we simply can't add shares in your company to new accounts, one is not demonstrating any growth. So we are sort of stuck here and I don't know what else to do, we described this issue on calls and we don't see much happening I guess that's our concern.
Dan Baker: Well, I appreciate the comment, maybe I could address the couple of things. We did spend a fair amount of time in the prepared remarks talking about our distribution strategy and how we do it and where it gets paid for. So the short answer to that is that while it doesn't show up in the expense line, it shows up and we are spending margins in order to gain distribution, such as the new distribution that we talked about from Newark and distribution from Digi-Key as we also noted our R&D is at a historically high level approximately 16% of revenue, that's our direct expense, then we have additional expenditures that our customer sponsored. So we spend relatively high amount and that probably recently if not the highest, among the highest we've spent in recent years and that is resulted in a number of new products. As far as our sales efforts, we have talked from time-to-time about our sales efforts. Our Vice President of Sales is Tim Hazelton, who is very capable, very talented individual. He will be heading out, he is here now, but he will be heading out to trip in Asia and he'll be spending a great deal over the next few months on the road talking to customers, talking to new customers and talking about our new products. He will also be meeting with some of our distributors in Europe and Asia and bringing them up to speed so that they can update their customers. So we are able to leverage our sales force into a lot of feet on the street with an excellent distribution network and we have an excellent R&D group, we're spending more than ever on that. As far as capital allocation.
Jon Jung - Trailhead Asset Management: You've been through this a number of times and if I were on your Board, I'd be asking you how do you demonstrate that you have a terrific distribution system? If got to be with improved sales and you're not getting that, it simply the loser. You talk about having given up margin to get distribution and yet your margin is approaching 80%, you're not getting the distribution or at least you're not getting sales out of your distribution. So the distribution cannot be described as successful when you look to last five years of revenue. It simply isn't working in terms of getting you additional sales. So, we're listening to a broken record from you and that's not pleasant as a shareholder. So you generate good stuff from a governance standpoint and yet you continue to say you're getting great distribution and higher growth rates, that's accord, I just wrote it down, higher growth rates out of your distribution system, higher than what. Your growth rate is negative and I have a frustration because if I were Tim Hazelton, if I was on our Board I would be asking Hazelton can we spend more money and get some growth out of our company and these great products. And if he says no, spending more money isn't going to get us any more sales, that is head scratcher, you simply not, I don't see you investing in sales and distribution. So I am, we are not buying your stock or selling it affectively. So I am not dam or frustrated, we are not here in the right stuff here, we are simply not hearing the right things with regard to the same things but simply not true, higher growth rates are not coming out of our distribution system. So I fail to understand your comments, I am sorry. I like your honestly, I like to texture very, very frugal, but I think in this particular case, you are way too frugal. I don't think you are investing the money necessary to get increase sales, that is just my general feeling from having listened to calls for several years here. So you are running the business stand, but it is not working and that is our frustration. So I am sorry, and which I had someone else to ask it, but it's an ongoing broken record, we are not hearing this. So thanks very much for listening to us anyhow.
Dan Baker: Well, I appreciate your tender Jon. Maybe I can try and add one more thing and that is that there is more to it in the expense line. So we spend margins on distributors and we spend margins to get into larger markets and we made a number of proposals and we have leads that are progressing that are for high volume lower margin business. So we are spending the money where we think it will get us a return which is on distribution and on sacrificing margins in order to get into larger markets and I share.
Jon Jung - Trailhead Asset Management: Let me just ask a question then, do you have products specialists at work in Tim's area that go out and help these sales people because I know you have distributors who have catalogs with thousands and thousands of parts on them and they can't possibly know they are order takers, they don't know the products because there are vast numbers of products in the catalogue. So you are distributors, sales people, do you have specialists, product specialists that go out from Tim's area to try to train, promote and go to customers to try to help them understand how to sell your product and the differentiation that it brings to the market?
Dan Baker: Yes, absolutely. We do that face-to-face. We do that through marketing collaterals, through evaluation kits which we give away. We do it through reference designs. We do it through frequent telephone support and we are on the phone with distributors virtually every day and we all spend time on the road talking to customers learning what they want, explaining our benefit proposition and our face-to-face distributors are very good at that. They have their own customer support, people they know our products very well. That's different than distributors like Digi-Key and Newark which are primarily catalog internet and generally not providing a lot of face-to-face support. So we have some customers who like to buy that way, who know what they want and will buy through catalog internet distributors and then we have some customers and particularly in certain verticals where face-to-face is the way to go and in that case, we invest in face-to-face distribution. We invest expense, we invest margins and we invest our most valuable resource, our people's talent and time.
Jon Jung - Trailhead Asset Management: Do you have enough of those people that are doing the Tim for instance send out to the field to make calls and make presentations?
Dan Baker: We think we do. We think we can leverage our distributors' expertise. We call on people throughout the company. We're not so rigorously structured that if we have a question that somebody say in test engineering can answer or somebody in design engineering can answer, but those people are available and we will get answers for our customers. We provide them excellent support. We provide them fast support. We provide them expert answers and I think that's one of the benefits that we provide is that we're specialized compared to broadline large semiconductor company. We know our stuff. Our people are smart and we get back to our customers very promptly with excellent answers. So I think that's one of our strength. I share your frustration that it's not showing up on our topline. We believe that will but I understand what you are saying. We would like it to be sooner.
Jon Jung - Trailhead Asset Management: Okay, well as I say, you guys are absolutely A plus number one on our portfolio in terms of governance, you've done a yeoman's job there of the proper treatment of your shareholders and I have great admiration for what you've done there, but it is a case of recently, are in a position where our business is to find companies that are growing their markets and growing their products and we simply (inaudible) slow speed with this one. So we simply can't add it, we don't add it to new portfolio. So that's not helpful. I'd like to be able to say that that's not the case, so anyhow we are frustrated by that and it's ongoing. So, best of luck to you guys. And as I say, it's just not that I know you're not the lack of trying, but you've got $87 million sitting there and I would not be proponent of buying back a lot shares with the share count you will -- got out there now, but it just strikes me you got $87 million that doesn't seem to be useful.
Dan Baker: Well, we also see advantages to having a strong balance sheet, but you are right, we --
Jon Jung - Trailhead Asset Management: You sir, you're beyond that.
Dan Baker: Well, a very strong balance sheet, but we also see it is valuable to spend it under certain circumstances whether it's acquisitions, whether it's other strategic opportunities. We have a buyback program and we certainly believe that we have adequate resources to support all of those. We probably have to move on to other question. So nobody there, any other questions.
Operator: Thank you. Our next question comes from the line of Steven Crowley of Craig-Hallum Capital. Your line is open sir. Your line is open sir.
Steven Crowley - Craig-Hallum Capital: Sorry about that, I had mute on. In terms of one of the product lines that you mentioned sampling during the quarter, the middle one, not the high field sensors, not the couplers for in-car networks, but the product line for factory automation applications. I think is what you referenced. What was that product, can you walk us through the progression there also?
Dan Baker: Okay. I think the middle one was current sensors right?
Steven Crowley - Craig-Hallum Capital: Yeah.
Dan Baker: So, current sensors for factory automation and the automotive applications, so and that represents an expansion of our sensor product line, most of our sensors now are used to sense position either proximity sensors, where for example a robot position is in the correct position or not, rotary sensors, angle sensors and this is something current which is becoming more and more important in terms of factory automation in order to maximize energy consumption to improve energy consumption and to improve efficiency. And so this is a new area for us, we've had current sensors before at the table relatively low current range in the range of tens of milliamps, which is not really usable for motors which have currents in the range of many amps or several amps. So that is the new product that we sampled at a trade show in May in Germany in cooperation with high line sensor tech now called IS Line which is one of our major distributors in Europe. And the reaction was very good due to the par. We are working on design optimization and we hope to have that ready for production relatively soon and we already have some customers who are interested in it, some with relatively high volumes that are looking at the advantages of that part is very small and it's very precise. It has an area curve that one can barely see and so we think it's a major step forward, our customers do as well. And that's one of the efforts that we worked on with the R&D investment that we have been marking.
Steven Crowley - Craig-Hallum Capital: Do you have any sense for how big market segment current sensors are, is it at $20 million? I have no idea on how big that space is, what is your market intelligence tell you?
Dan Baker: I would be reluctant to quote a number because there would be secondary number but it's a very large market. What we are attempting to do is target a particular submarket that our first product will be probably zero amps and five amps which will cover fractional horse power motors and then we hope to expand beyond that with higher current and lower current and different package types and configurations. So our goal is to gain a foothold and a reputation, there are some relatively high volume applications within that market and we have been talking to some specific customers but the potential is pretty large. It's a fairly diverse market but a pretty big market.
Steven Crowley - Craig-Hallum Capital: As you look at the potential sales contribution from this product line at some level that you would call the maturity, is it an area that should be downstream a couple of million dollars of sales for NVE, if you are successful or bigger than that or is that too ambitious to think that if you are successful at a reasonable level of maturity you could be that?
Dan Baker: Well, the usual caveat supply is that we really don't know how many we'll sell but certainly we see it as much larger than the low million that you described. And our goal is to execute well there that we have the opportunity as we discussed at length that we have excellent margins. And so for high volumes we can give up some of those margins if necessary to provide a really convincing benefit proposition to our customers compared to things like transformers or device is smaller and we think it could open up significant market. As you know it's not our practice to try to predict that but that's the feedback we are getting.
Steven Crowley - Craig-Hallum Capital: And in terms of when that product line could start to contribute to revenue, is it late this fiscal year, is that even realistic, when does the starting gun go off for you to start to collect revenues without product line?
Dan Baker: Well, the starting gun has gone off but we aren't primarily in sampling and there's not really enough volume to move the needle but the next milestone would be production devices. These were samples that we provided. They met most of the specifications that our customers needed there. There are a couple of things that we needed to improve and we've already made the design changes necessary for that. So we hope to have parts this quarter that are fully spec compliant, there are no guarantees, there's always risks and then we'd be starting up production, perhaps limited production as early as this quarter and certainly we would hope this calendar year. And then volumes depend on customer uptake and those are things that are difficult to predict but what we can control is listening to our customers, making products that meet their requirement and getting them done as quickly as humanly possible and our engineers, our subcontractors, our packagers are all doing a great job getting that product built as quickly as possible.
Steven Crowley - Craig-Hallum Capital: And then with biosensors, you've been [involved] up in a situation if I can call it that, with transition and change at the first big intended customer for your novel biosensor, it seems like that the fog maybe clearing and there is a map towards introduction of that product and you're hoping to get that map over the next quarter. I mean you intimidated that you'll be in discussions and those discussions, planning, discussions will be taking place. I am inferring that's relatively soon but you've also tried to do some other things to kick start the financial progress with that investment which mean other potential customers in food safety applications, how far away from meaningful commercial revenue given all of those things you have going on might we be for the biosensor?
Dan Baker: No, it's like as you said, we've seen some encouraging signs from our customers on the biosensor, front albeit little bit indirectly we presume that they aren't working on business discussions if there isn't business to be had. So we find that encouraging and as far as the food safety, I think the NSF grant which is which we just started this month is very encouraging and we're going to be working with commercial entities to deploy that, that's encouraged by the NSF process it's obviously our primary interest, while we were pleased to get a grant. That's not our primary goal; our primary goal is to end up with commercial products. So this will allow us to demonstrate the product to foster a relationship with the customer that can use it and the feasibility it's a one year grant, so the feasibility will be, if we meet our goal it'd be demonstrated by them, but there are some steps along the way that will allow us to get a product ready for commercialization and to develop customer relationships. So we see some great opportunities there and we're hopeful that the medical diagnostic instrument is getting closer.
Steven Crowley - Craig-Hallum Capital: Well, obviously what I am trying to gather is what can start that product revenue line moving forward, again you've talked about a number of opportunities, just trying to flesh out more of that, because it's been a while since, we've seen the payoff from a lot of initiatives at the company. The contract R&D business has gone, we proceeded all the way to a couple of $100,000 a quarter. You've gone out of your way to highlight how things maybe getting better on that front, but we really just talking about one two hundred and something thousand contract. Is that a proxy for a greater pull of activity that should allow that business to normalize at $1.5 million or so a year that the way we should think about that or is it, it's so far down you're going to let it go off the map, because it's not so strategic to you now that it's gone down to this level. How should we think about that?
Dan Baker: Well, we certainly are not going to let it go off the map and I think as we mentioned in our prepared remarks, we are seeing some signs of improvement and we have ongoing discussions about some fairly significant contracts. So, Curt do you have anything to add on that?
Curt Reynders: Well, as far as timing, I think it's before that, it's probably going to be challenging for a couple of quarters and I think we still see that. But there are somethings that are in the works, but I wouldn't expect to see anything probably until the our fiscal fourth quarter.
Steven Crowley - Craig-Hallum Capital: But was this the run rate or does it bounce a bit off here and then jump up more when you get into the [meat] of that later in the year?
Dan Baker: Well, we're hopeful that the things we have in the works will -- it will jump from this level beginning with our fourth quarter.
Steven Crowley - Craig-Hallum Capital: Okay. And then on the litigation front it looks like there was an update to your disclosure in the 10-Q about the proceeding having been stayed until next year, what's your interpretation for us of that, what is it mean to your process and a potential payoff and thanks for taking the questions, I want somebody else jumping here, if need be or if desired?
Dan Baker: Okay, well we probably ought to wrap it up pretty soon, I think we've gone over a little bit, but so what happened on the stay, the stay on the case, our case against Everspin was to be lifted at the end of June, and there was extended another year. So the reason for that is rather then say why they aren't infringing, they decided to challenge the patent that are already issued. And courts generally stay proceedings until patent reexamination challenges run their course. So that is the situations that we're in and we remain confident of our position and we hope to emerge at the end of that one year period, with a very strong case.
Steven Crowley - Craig-Hallum Capital: Thanks.
Dan Baker: Thank you, Steve.
Operator: And our final question comes from the line of William Driscoll.
William Driscoll - RMB Capital Management: Dan, this is just a request for maybe some enhanced disclosures going forward. I just want to get, I have to say echo the feelings of the gentleman from Trailhead as far as just the lack of growth, but willing to see something that we can point to that we know that NVE is just not dying on the line. So if there's any way you could give us some disclosures on your products as far as the vintages of them, are we selling products that were placed with customers or designed in several years ago? I just need something to get a better sense of whether these dollars that you are spending on R&D are getting any return at all. And I still, I understand distribution is a cheaper way to go, but I think with your products that maybe you need to have a little bit more on the sales and marketing side to help support getting these into the right places. So again just a disclosure in anyway either now or going forward in quarters of just you know what is the age of the vintages of the products that you are currently selling?
Dan Baker: Thanks, Bill. Maybe just taking a quick crack at answering that, it's a mixture of vintages. Some of our products, we are selling products that we've introduced very recently, I mentioned some of the controller area network transceivers. We recently introduced a line of ultra small network transceivers so and then we have some products the beauty of our products is that they are way ahead of their time and so some of the products that we introduced many years ago are still selling very well because they are still the best in class, but our goal is to constantly improve, make our products better, make them smaller, make them more sensitive, make them lower costs and we continue to do that, but we will certainly take your comments to heart. With that, we should probably wrap up. I do want to thank everyone for participating. We were pleased to report strong earnings. We look forward to seeing some of you at our annual meeting in a couple of weeks, and of course we plan to speak to you again in October with second quarter results. Thank you for participating in the call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.